Operator: Good afternoon, and thank you for holding. Welcome to the Motorola Solutions, Inc. Fourth Quarter 2025 Earnings Conference Call. Today's call is being recorded. If you have any objections, please disconnect at this time. The presentation material and additional financial tables are posted on the Motorola Solutions, Inc. Investor Relations website. In addition, a webcast replay of this call will be available on our website within three hours after the conclusion of this call. The website address is investors.motorolasolutions.com. All participants have been placed in a listen-only mode. You will have an opportunity to ask questions after today's presentation. If you would like to ask a question, please follow the operator's instructions to remove yourself from the queue. I would now like to introduce Mr. Tim Yocum, Vice President of Investor Relations. Mr. Yocum, you may begin your conference. Good afternoon. Welcome to our 2025 fourth quarter earnings call. With me today are Gregory Q. Brown, Chairman and CEO; Jason J. Winkler, Executive Vice President and CFO; John P. Molloy, Executive Vice President and COO; and Mahesh Saptharishi, Executive Vice President and CTO.
Tim Yocum: Greg and Jason will review our results along with commentary, and Jack and Mahesh will join for Q&A. We posted an earnings presentation and news release at investors.motorolasolutions.com. These materials include GAAP to non-GAAP reconciliations for your reference. During the call, we reference non-GAAP financial results, including those in our outlook unless otherwise noted. A number of forward-looking statements will be made during this presentation and during the Q&A portion of the call. These statements are based on current expectations and assumptions that are subject to a variety of risks and uncertainty. Actual results could differ materially from these forward-looking statements. Information about factors that could cause such difference can be found in today's earnings news release, in the comments made during this conference call, in the Risk Factors section of our 2024 Annual Report on Form 10-K, our quarterly reports on Form 10-Q, and in our other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statements. And with that, I will turn it over to Greg.
Gregory Q. Brown: Thanks, Tim. Good afternoon, and thanks for joining us today. I am going to start off by sharing a few thoughts about the overall business before Jason takes us through our results and outlook. First, Q4 was an exceptional quarter across the board with record revenue in both segments, record operating earnings, and record operating margins. We also grew orders by 26% and ended the year with our highest ever backlog of $15.7 billion, up $1 billion year over year. Second, our full year results were outstanding. Revenue increased by 8% and EPS by 11%, which marked our fifth consecutive year of double-digit EPS growth. We also achieved record operating cash flow of $2.8 billion, which was up 19%. We expanded operating margins 130 basis points that resulted in our first ever 30%+ annual operating margin. Finally, as I look to 2026, record backlog position, strong demand environment, and expanding product and services portfolio are all informing our expectations for another strong year of revenue, earnings, and cash flow growth. And now I am going to turn the call over to Jason.
Jason J. Winkler: Thank you, Greg. Revenue for the quarter grew 12% and was above our guidance with double-digit growth in both segments and all three technologies. Revenue from acquisitions was $188 million and the impact of favorable FX was $30 million.
Gregory Q. Brown: GAAP operating earnings were $944 million, or 27.9% of sales, up from 27% in the year-ago quarter. Non-GAAP operating earnings were $1.1 billion, up 19% from the year-ago quarter, and non-GAAP operating margin was a record 32.1%, up 170 basis points. The increase in both GAAP and non-GAAP operating margins was driven by higher sales, favorable mix, improved operating leverage, and was partially offset by higher tariffs. GAAP earnings per share was $3.86, up from $3.56 in the year-ago quarter. Non-GAAP EPS was $4.59.
Jason J. Winkler: Up 14% from $4.04.
Gregory Q. Brown: The growth in EPS was driven by higher sales, higher margins, and a lower diluted share count, partially offset by higher interest and a higher tax rate. OpEx in Q4 was $700 million, up $48 million versus last year, primarily due to expenses from our acquisitions.
Mahesh Saptharishi: And the effective tax rate for the quarter was 23.6% compared to 22% in the year-ago quarter, driven by lower benefits from share-based compensation recognized in the current quarter. Moving to the full year 2025. Revenue was $11.7 billion, up 8% with strong growth in both segments. Revenue from acquisitions was $382 million and the impact of favorable FX was $35 million. GAAP operating earnings were $3 billion, or 25.6% of sales, versus 24.8% in the year prior. Non-GAAP operating earnings were $3.5 billion, up $395 million, and non-GAAP operating margins were a record 30.3% of sales, up from 29% of sales in the prior year, driven by higher sales, higher gross margins, and improved operating leverage. GAAP earnings per share was $12.75, up 38% compared to $9.23 in the prior year, primarily driven by a loss in the prior year related to the accounting treatment for the settlement of the Silver Lake notes, partially offset by higher earnings in the current year. Non-GAAP EPS was $15.38, up 11% from $13.84 in 2024, driven primarily by higher earnings and a lower diluted share count, partially offset by higher interest expense. For the full year, OpEx was $2.6 billion, up $140 million primarily driven by higher expenses associated with acquisitions and increased organic investments in our higher growth businesses. And the effective tax rate for 2025 was 22.3% compared to 22% in the prior year. Turning to cash flow. Q4 operating cash flow was $1.3 billion compared to $1.1 billion in the prior year, driven by higher earnings. For the full year, we generated record operating cash flow of $2.8 billion, up 19% year over year, and record free cash flow of $2.6 billion, up 21%. These increases were primarily driven by higher earnings. 2025 marked our third consecutive year of double-digit cash flow growth. Capital allocation for 2025 included $4.9 billion in acquisitions, including our acquisition of Silvus; $1.2 billion of share repurchases, including $490 million in the fourth quarter; $728 million in cash dividends; and $265 million of CapEx. Additionally, during the year, our board of directors approved an 11% increase in our dividend, which is our fourteenth consecutive year of double-digit increases. We also issued $2 billion of long-term senior notes and $1.5 billion of term loans to fund the Silvus acquisition and repaid $322 million of senior debt during 2025. Subsequent to year-end, we repaid $200 million of the $1.5 billion term loan, leaving an outstanding balance of $1.3 billion as of today. Moving next to our segment results. In the Products and SI segment, Q4 sales were up 11% versus last year, with 11% growth in MCN and 12% growth in video. Revenue from acquisitions was $151 million, while FX was $20 million favorable. Operating earnings were $667 million, or 30.9% of sales, up from 30.5% in the year prior, driven by higher sales and improved operating leverage, partially offset by higher tariffs. Some notable Q4 wins and achievements in this segment include a $180 million P25 system order for the state of Tennessee and expansion of the network upgrade that was announced last quarter; a $162 million P25 device and SVX body-worn assistant order from a U.S. federal customer; an $81 million TETRA system for a customer in North Africa; a $20 million Silvus order for an unmanned systems provider; and a $20 million fixed video order for a customer in Argentina. For the full year, Products and SI revenue was $7.3 billion, up 5% from the prior year, driven by higher sales in MCN and video. Revenue from acquisitions was $262 million, and the FX impact was $20 million favorable. Full year operating earnings were $2.1 billion, or 28.9% of sales, up from 28.1% in the prior year on higher sales and improving gross margins. In Software and Services, Q4 revenue was up 15% driven by growth in all three technologies. Revenue from acquisitions was $37 million, while FX was $10 million favorable. Q4 operating earnings in the segment were $419 million, and operating margins were 34.3%, up from 30.3% last year, primarily driven by higher sales, expanding margins inclusive of favorable mix, and improved operating leverage. Some notable Q4 highlights in the S&S segment include a $201 million ten-year P25 services renewal from the state of Maryland; an $86 million Command Center order for an international customer; a $79 million P25 services and Command Center order for Prince George's County in Maryland; a $61 million TETRA services order for the London Underground in the UK; and a $29 million TETRA services order from a European customer. For the full year, revenue was $4.4 billion, up 13% compared to last year, driven by strong growth in all three technologies. Revenue from acquisitions was $120 million during the year, and FX impact was $15 million favorable. Full year operating earnings were $1.4 billion, or 32.5% of sales, up 170 basis points versus the prior year, driven by higher sales, expanding margins inclusive of favorable mix, and improved operating leverage. Looking at regional results. North America revenue was $2.4 billion in Q4, up 7%, and $8.4 billion for the full year, also up 7%, driven by growth in both segments and in all three technologies. International Q4 revenue was $1 billion, up 26% versus last year with strong double-digit growth in both segments and all three technologies. For the full year, international revenue was $3.3 billion, up 11% with growth in both segments and double-digit growth in all three technologies. Moving next to backlog. Ending backlog for Q4 was an all-time record of $15.7 billion, up $1 billion versus last year and up $1.2 billion sequentially, driven by the record orders we received during both Q4 and during the full year. In the Products and SI segment, ending backlog was up $235 million sequentially, driven by record Q4 orders in both MCN and video. For the year, backlog was down $323 million, or 8%, driven primarily by strong LMR shipments in the first half. In Software and Services, backlog increased $1.4 billion from last year and $945 million sequentially, with strong growth across all three technologies. Now turning to our outlook. We expect Q1 sales to be up between 6%–7%, with non-GAAP EPS between $3.20 and $3.25 per share. This assumes a weighted average diluted share count of 168 million shares and an effective tax rate of 20.5%. For the full year, we expect revenue of approximately $12.7 billion and non-GAAP EPS between $16.70 and $16.85 per share. This full-year outlook assumes an average weighted share count of approximately 168 million shares and an effective tax rate of approximately 22.5%. It also includes favorable FX of about $100 million, which is unchanged from what we assumed in November when we gave color on 2026. Additionally, we anticipate our strong cash conversion to continue in 2026 with expectations of approximately $3 billion in operating cash flow. And finally, before I turn it back to Greg, I wanted to share two highlights. First, some color on the segment growth expectations that are included in our guidance for this year. In our Software and Services segment, we are anticipating revenue growth of between 10%–11%. And in the Products and SI segment, our expectations are for revenue growth of 7%–8%. And for our technologies, we are planning for video growth of 10%–11%, with continued strong adoption of our cloud offerings. And in Command Center, we are anticipating another year of 15% growth. And in MCN, we expect to grow between 7%–8% with growth accelerating in the second half of the year. Finally, I would like to highlight the launch of our first ever Assist Suites a couple weeks ago. These suites integrate our most critical AI-powered applications around two key roles in public safety: the dispatcher and the officer. We have tailored these offers to assist these key personnel under a role-based pricing model of $99 per user per month. This package offers our state-of-the-art public safety AI to our customers at a superior value. And much like our APEX Next applications platform, we expect Assist to be another driver of recurring revenue growth while expanding our software TAM. I will now turn the call back over to Greg.
Gregory Q. Brown: Thanks, Jason. Let me close with a few thoughts. First, our financial performance past year was outstanding, and I am encouraged by how we executed on several key product initiatives. We continue to invest in the technologies that our customers depend on, evidenced by the successful release of SVX, our body-worn assistant, that converges secure voice, video, and AI and eliminates the need for a separate body-worn camera. We have shipped over 15,000 SVX devices since we launched, and we have a robust funnel of opportunities for the coming year. We are also seeing strong interest in our latest generation D Series mission critical infrastructure from our P25 LMR customers, and we secured several large upgrades during the year. Furthermore, achieving FedRAMP approval for our APEX Next radios, the associated applications, and our back-end digital evidence management platform are significant milestones that strengthen our position within the federal space, ensuring our cloud-based solutions meet the highest security standards. Second, we continue to make significant investments in AI and just last month, Jason referenced it, we launched our first two public safety AI Assist Suites for 911 dispatchers and first responders, designed specifically to address the unique challenges of each role. The introduction of these two suites is fundamentally about reclaiming the most valuable resource in public safety: time. We built a broad-based ecosystem of public safety solutions and continue to use AI to intelligently ingest multi-source data—911, the radio transcripts, and body-worn information—and synthesize it into a unified actionable picture. When we take a police report that used to take an hour to write and drop it to fifteen minutes with Narrative Assist, or reduce the redaction time of mobile video footage from thirty-five hours down to one, we are helping put officers back on the street. Our introduction of these two Assist Suites—and by the way, there are more to come—underline our comprehensive approach to AI. We do not see these solutions as point products. They are the integrated nerve center of the emergency work, delivering real, verifiable value of AI to the people who protect our communities every day. Third, 2025 was a landmark year for capital allocation. We deployed nearly $5 billion towards strategic acquisitions, headlined by Silvus, which got us into the rapidly growing new defense and unmanned systems market. In addition, we strengthened our portfolio in cloud-native 911 solutions, AI-driven workflows, and remote video monitoring. We did that while also returning almost $2 billion to our shareholders in the form of dividends and share repurchases. I expect our robust liquidity profile, continued solid cash flow generation, and strong balance sheet to provide significant flexibility for capital allocation including M&A and share repurchases. And finally, I believe we are very well positioned entering this year. We are seeing continued prioritization of safety and security from our public safety and defense customers worldwide, driving increased demand for our integrated ecosystem of mission critical technologies, and our record ending backlog and strong orders pipeline continually highlight the trust our customers place in us. And I will now turn the call over to Tim and open it up for questions.
Tim Yocum: Thanks, Greg. Before we begin taking questions, I would like to remind callers to limit themselves to one question and one follow-up to accommodate as many participants as possible. Operator, would you please remind callers on the line how to ask a question?
Operator: The floor is now open for questions. If you have a question or comment, please press 5 on your telephone keypad. Please press 5 once again for optimal sound quality. Thank you. The first question is from Timothy Patrick Long with Barclays. Your line is now open. Thank you. Yes, two if I could here. First, maybe for Greg or Jack, if you could just give us kind of an update on Silvus. Good to see a nice-sized order in the quarter. I think you had been looking at about 20% growth for the year. Just curious, given all the developments around unmanned vehicles, if you think there would be upward bias to that. And then the second question is somewhat related. You have got Silvus, obviously, with some federal, a lot of FedRAMP certifications coming through with SVX and APEX Next. And, obviously, that order that included some SVX. So maybe, Greg, if you could just level set for us how you are thinking about, you know, growth and traction now that you are set up in much better ways, it seems, for the federal piece of the business here, whereas obviously a lot of this is state and local. So just curious with all these moves that you made, how you are thinking about federal as a TAM going forward? Thank you. Yes. Thanks, Tim. Look, I and we could not be more pleased with Silvus' performance since we closed that asset and that acquisition in August. I think Molloy and his team have done a really good job on integrating. Jason's, quite frankly, on integration. We are putting more money into R&D. We are putting more money into go-to-market. We are adding engineers. We are adding salespeople. We are improving coverage. Simultaneously, while Silvus is pretty much standalone, we are integrating what you would think we would: procurement, supply chain, reducing lead times, plus the goods economies to scale. I am very pleased with what both Jack and Jason have done. There was Q4 upside that was driven by, look, Silvus had a very good Q4: Ukraine and unmanned systems demand. By the way, Tim, when we look at 2025 revenue all in for Silvus, it was more international versus North America, primarily driven by strong demand in Ukraine, the UK, and Germany. We are raising our expectations again for revenue this year in 2026. We expect Silvus revenue of $675 million in 2026. That is $75 million higher from expectations a quarter ago. And it continues to be a critical litmus test in Ukraine for critical defense and new defense technology in unmanned. Yes. Tim, and I think just a couple things to build on. I think it is really related to APEX Next traction and SVX traction. So APEX Next, you know, as we have discussed before, we have 2 million first responders in the U.S. that encompasses police, fire, and EMS. We have stated that we are going to have 300,000 users by 2026. That is up from 200,000 at 2025 that pay, you know, $300 a year annually in terms of app. So good traction on the apps. As it relates to SVX, just a couple things. We did get FedRAMP approval for SVX as well as our digital evidence management. I will tell you, we have got every field seller equipped with an SVX device.
Mahesh Saptharishi: Interest is strong. Demand is strong. The units that have been fielded, the feedback has been outstanding.
Gregory Q. Brown: And then remember, it is a new category in of itself. It is a body-worn assistant. It is multi-source. I think that is where it is different. We have shipped over 15,000 units, but we expect significant more traction this year with quotes out to hundreds of customers, Tim. So we are really, like, we are really excited about SVX, and I think as we have said, the market wants an alternative. As a customer told me that I met with last week, it starts to become a total cost of ownership, and it becomes about platform unification. We know we need to talk, and this does a lot more for us. So I think it is game on. Okay. Thank you, guys.
Tim Yocum: Thank you.
Operator: The next question is from the line of Andrew Carl Spinola with UBS. Your line is now open.
Mahesh Saptharishi: Thank you. I have a quick question for Jason. I think the margin continues to outperform my expectations. I think it looks like you are guiding to some further improvement next year. Can you talk about your outlook for margin for 2026? And maybe specifically about some of the puts and takes from tariffs and memory costs, etcetera, that you have in your outlook?
Operator: Sure.
Mahesh Saptharishi: Andrew, so much like in 2025, we are planning for another good year. 2025 and the margin expansion we saw of 120–130 basis points at OE included a tariff headwind, which for 2025 was in the second half. Now as we enter 2026, we plan for an incremental tariff, which will present itself in the first half, and that is about $60 million. In terms of drivers for overall margin expansion and overcoming tariffs in other parts of the portfolio, like memory that we will see an increase, it is about continued customer adoption of our feature-rich devices, and some of the devices that Jack just talked about, as well as continued uptake of APEX Next. It is about mixing to higher growth parts of the portfolio, including services, and those growth drivers that drove 2025 exist for 2026, and we will continue to expand margins. And, of course, prudently manage costs and OpEx. That is what is included in our outlook for 2026 is 100 basis points of operating margin expansion.
Gregory Q. Brown: With operating margin expansion in both segments as well. And just one follow-up. Could you maybe drill down on the acceleration in the Command business that you saw in Q3 and then further in Q4, and then maybe just on that question, sort of maybe expand a little bit on your view on the 911 market, given some of the acquisitions that have been done, how do you see yourself positioned against the competition? And what is your outlook for that business? Thank you.
Mahesh Saptharishi: So I will make one comment around the acceleration of growth, particularly in Q4, where we saw 19% growth. Keep in mind that within Command Center is included our APEX Next applications. And the uptake that we have seen in there has benefited that part of the business. And we gave an outlook on the last call that the 200,000 plus subscribers that we ended 2025 at for APEX Next subscribers would grow to 300,000 by end of this year. So part of what you are seeing there is that benefit. And, Mahesh, there are other things happening.
Tomer Zilberman: Absolutely. So if you think about a typical PSAP, there are three core workflows. There is 911, there is CAD, and there are consoles. And when we think about our solution, we think about all three, and we think about workflows across all three. So as opposed to having any sort of AI capability that is an over-the-top instance, we actually embed it within our core workflow applications. And this is critical to our Dispatcher Assist Suite, catering to that persona. And think about it this way. We have had transcription and translation now out for a few years.
Mahesh Saptharishi: Just last year alone, there were about 33 million assisted calls out there. And now with the Dispatcher Suite, we are now able to not only facilitate that 911 call taker's workflow, but also do things like create incidents in CAD automatically.
Tomer Zilberman: So the Assist Suite is now helping us connect the different pieces of the applications that are critical to that workflow.
Jason J. Winkler: And all of that, I think, is leading to great traction within our VESTA and NEXT portfolio, which has been key for us. And we went live with a couple of large customers as well with that solution. So I think those are all things that are leading to growth in the Command Center portfolio. Yes. The thing I would add just to remind you, Vesta Next is cloud 911 call handling. We have got the product. We have rolled the product. We are implementing the product. Some others are looking to, I think, catch up with us in that regard. That is fine. But we like the portfolio. The other thing to understand about Command Center, 15% growth last year. We are guiding for 15% growth this full year as well. By the way, Q1 is likely to be stronger than that given the timing of certain implementations. But nonetheless, we think the full year will be equally strong, 15% over 15%. It is also important to understand the connective tissue between the technologies and what we are doing with the Assist Suites. So, yes, Command Center is growing at 15%, expected to be for this year. Embedded in that is the expectation around Assist Suites. We are not just rolling out Assist Suites at $99 a month per user, which is much more competitive than some alternatives out there. It does more. It does things like CAD and records. By the way, we are the market leader in CAD. We are in almost two thirds of PSAPs already. We are using our mission critical network position, the superiority in a converged device with the body-worn assistant, to do multi-source ingestion and spread it to an end-to-end emergency workflow. So there is high connective tissue between the way we go to market not just in the radio and SVX, but in the Command Center software as well through one Salesforce. It will provide users with technology refresh, and I think we are very well positioned to continue to grow both businesses in an integrated way. Market leader in CAD and 911. Exactly. Two of the three largest cities in the United States under contract would be in the quote. Thank you.
Operator: The next question is from the line of Adam Tindle with Raymond James. Your line is now open.
Tomer Zilberman: Okay, thanks. Good afternoon. Greg, I thought backlog was obviously a highlight here, very strong, and you certainly did what you said you were going to do.
Gregory Q. Brown: There was a lot of doubts on product backlog in particular. And you mentioned that I think it was record orders. There was a view that with ARPA funding expiration kind of impending and potential pressure from those that we might see subdued orders or moderation in that. I guess as you kind of look at the lens hindsight, why was that the wrong assumption to make for bears?
Tomer Zilberman: And then going forward, any thoughts on backlog into 2026 product backlog in particular? I know it is not a guide point, but just kind of general direction on where you are thinking that goes. Thanks.
Gregory Q. Brown: Yes. No problem. I think, look, taking a step back, a lot of the narrative and inquiry around product backlog, you have to remember the context by which we and I talked about it, in that we were and are transitioning from historically record high product backlog that was elevated because of the supply chain semiconductor congestion in previous periods. So what you see us doing, and I have guided it around where I think it would be. We achieved that for 2025. I will talk a little bit more about 2026. But underpinning your question is we are getting back to the quick-turn rhythm of the way this business operates, normalized for the COVID backlog issue. By that, I mean, more than half of our revenues last year were quick turn. Remember, I define that as sold and installed in the same year. We are expecting the same thing in 2026. Love the fact that we finished the year with record backlog all in at $15.7 billion. To your point, we were pretty confident, I would say highly confident, that product backlog would end in the high threes. We did at $3.8 billion, but also aside from just backlog, you have to look at orders. We have had three consecutive quarters, Q2, Q3, Q4, of double-digit product orders. By the way, we expect double-digit product orders in Q1 and we expect double-digit product orders for the full year in 2026. When I look out a year from now, I think product backlog will likely be up versus the $3.8 billion exiting 2025. It is going to bounce around as it normally did, as it did last year. I think product backlog will decline in Q1 as it typically does from a normal seasonality standpoint. But I am just thrilled with not just the backlog position. I am more thrilled with the order performance and the pipeline, and the consistency of execution by Molloy's team. That is what gives us confidence. Adam, let me dimensionalize a little bit just Q4.
Mahesh Saptharishi: And what that meant. Jack's team drove $2.4 billion of product orders. That is a record, by the way, which was up $500 million from the year prior in Q4, and it is a very strong indicator of demand.
Gregory Q. Brown: Yes. One other thing I would just say, you talked about backlog. I want to dimensionalize total revenue for the guide of 2026. You know, we guided $12.7 billion. I think that the revenue will be very similar in 2026. It will come in very similarly as it did in 2025. And when you really look at first half, second half, we expect second half of this year to be significantly stronger than first half. But overall, feel very good about our position and the momentum we have coming into this year.
Tomer Zilberman: Great. All very helpful color. Thanks. Just as a follow-up on a different topic, I thought one of the other highlights on the call was the 30% plus first ever full-year S&S margin. I wonder if you could maybe just talk a little bit more about what is driving that, the trends and trajectory from here. Is there sort of an upper limit? I mean, we are already at very optimal margins for any sort of software business at that level, but just trends and trajectory, how you are thinking about it from here and reflect on that milestone.
Gregory Q. Brown: Yes. By the way, just a quick one. It is not S&S margin, it is 30%+ annual operating margin for MSI, for the whole company.
Mahesh Saptharishi: Which obviously is even stronger than just the segment.
Jason J. Winkler: Yes. And if I drill down on S&S, you know, it expanded from 30.8% to 32.5% based on drivers like mix, like efficiencies in delivering services and software, etcetera. And it is on a path to continue to expand. So we had some years of the impact of Airwave, and since that and it is now incorporated into our base, we are now growing revenue, and we are growing margins accordingly. So it is on path to grow operating earnings again this year. And the fundamentals are strong for it to continue.
Gregory Q. Brown: Got it. Thank you.
Jason J. Winkler: You bet.
Operator: The next question will come from the line of Joseph Lima Cardoso with JPMorgan. Your line is now open.
Gregory Q. Brown: Hey, good afternoon. Thanks for the question. Maybe if I could start with the first one. I just wanted to flesh out the 1Q guide a little bit. You know, if I take out FX or I make assumptions around FX and acquisitions contribution, I am calculating an above seasonal decline, so sequentially relative to the past couple of years. You are obviously underscoring strong momentum in the business with 4Q results, backlog, etcetera. But just curious what is the puts and takes relative to maybe a slower start to the year when I am looking at it from a seasonal perspective on an organic basis. Just because I think last quarter we talked about the federal shutdown. Now there is some DHS written in the news and recent events. So just curious if there is any sort of these outsized impacts that are still kind of impacting coming into 1Q. And then I have a follow-up.
Mahesh Saptharishi: Yes. So as we mentioned, demand remains strong. We raised the full year from our color last call from $12.6 to $12.7. Greg mentioned that the revenue growth in the second half, much like this year, will be stronger. In terms of your observation on seasonality, you know, it really depends on what period you are looking at. As we look at the business pre-COVID, the seasonal decline from Q4 to Q1 is within what we would expect. And what is more important is that the product orders that we expect in the quarter to be up again double digits, which will be the fourth quarter in a row, are informing what is included in our guide for Q1. So our outlook for the year is strong. It is stronger than it was ninety days ago. And our outlook for Q1 reflects where we are with the product backlog that we have and the orders that the pipeline supports for Q1 and the rest of the year.
Gregory Q. Brown: It is also worth noting that on an annual basis, 2026 over 2025, we are expecting full-year revenue organic growth to be better this year over last.
Joseph Lima Cardoso: No, got it, guys. That is fair. And then maybe just wanted to touch back onto the Assist Suites that you guys just announced. Like, I know it is early days and you guys just put out these products, but I think, Greg, you mentioned more to come. So just curious, like, should we be thinking about kind of the cadence here in terms of new product introductions? Should we think about a pipeline that is more on an annual basis, or is this kind of more pedal to the floor in terms of how you are thinking about introducing new products? And as we think about the new products coming in, should we think about it as additions to the existing dispatcher and responder product suite, or are you guys thinking about additional suites that you guys can monetize further? Thanks.
Mahesh Saptharishi: So just looking at 2025 as an example, in pretty rapid fashion, we launched capabilities that are associated with Assist like translation. We launched before that Assist for 911, supporting transcription, translation, summarization, other capabilities for 911. And since then, we have launched Assist Chat also last year, and all of these happened almost on a quarterly basis through the course of the year. What you can expect as we fill out Dispatcher and Responder is a similar sort of cadence going forward. And as Greg had already indicated, there are more personas we are going to attack as well. If you think about the Responder Suite in particular, think of it in three real significant buckets. One, what does the responder need to do when they are responding to an incident? This is everything that includes things like translation. It includes capabilities like updating their CAD status. It includes, by the way, with voice, the ability to now query records platforms, the ability to query the transcript that was generated during the 911 call. And it is actually very worthwhile to note that there is a statistic out there that says that 40% of the time when officers actually respond to an incident, they claim that they do not have the right situational information prior to that response. Everything that is involved in making sure that that response is effective is what we are putting into that response capability for that initial part of the Responder Suite. The next part is all the administrative tasks. We launched Assisted Narrative, Narrative Assist, last year as well. This is everything to help our officers be able to author reports very quickly. And the key point there is we are assisting them to author the reports as opposed to having a magical AI just have a button pushed and for it to author this capability entirely on its own. And, importantly, we are able to tap into sources in CAD, in records, and other platforms to make sure that that report is actually authored accurately. And, finally, on redaction and investigation, we are able to now accelerate that very significantly as well. All of this, by the way, is part of the Responder Suite. As you can imagine, within response, within administrative efficiencies, within investigations and search, there are multiple other things that we can now do, given our full holistic portfolio in public safety, to accelerate that even further, and you can expect that cadence to continue. And so that hopefully gives you some idea on what is coming next.
Mahesh Saptharishi: The other thing that is new and different about Assist Suites is, much like we embarked on the APEX Next platform business, is that it is a package. And you mentioned pipeline. Mahesh and team have a tremendous pipeline of new features. This package gives customers the certainty in the future of what we are delivering not just now, but into the future. And that is how we started with APEX Next and built that business as well in terms of its applications.
Tomer Zilberman: Thank you. Great color, guys. Appreciate it.
Operator: Next question is from Amit Jawaharlaz Daryanani with Evercore ISI. Your line is now open.
Tomer Zilberman: Hello. This is Victor Santiago on for Amit. Thanks for taking my question. Just wanted to ask about Silvus. Historically, there has been more focus on military and defense applications. But can you talk about the public safety and commercial opportunities as it relates to Silvus and whether these markets would be incremental to the TAM you originally had in mind when you first made the acquisition?
Mahesh Saptharishi: Thank you.
Mahesh Saptharishi: Yes. I think, so the first thing as it relates to Silvus is we think of it largely. Our focus today is really around three orders. It is defense, as you alluded to. It is actually borders as well. So there is border police that is adjacent to defense that there is a market for. As it relates to state and local police, there are some issues just around spectrum with what you do. You could have a special temporary authorization or a STA to do it. So Las Vegas Metro PD has a STA to use it, and they use Silvus technology. But it would be incremental to the TAMs that we have kind of talked about if it happens, but it needs spectrum. There is so much room to run for us to do DOD business within the United States. Internationally, the expansion we are seeing and the traction, the groundwork we are laying throughout NATO, not just Ukraine, but it is all about NATO. Australian Navy, we are in discussions with them. We have got a lot of opportunities just to run there. And then as Greg referred to and Jason referred to, the unmanned systems, the platform modernization in terms of drone technology, class one to class five, all different types of drones. We have broadened the portfolio already at Silvus. We are constantly thinking about size, weight, power. How do we fit those in different classes of unmanned systems. I think we are uniquely, with our spectrum dominance software suite, we are uniquely positioned to do really well in the unmanned space. So law enforcement is great. We have a team focused on federal law enforcement, but that is all incremental to the focus on defense U.S. and abroad, and unmanned systems.
Tim Yocum: Great. Thank you. That is it for me.
Operator: Next question is from the line of Meta A. Marshall with Morgan Stanley. Your line is now open. Great. Thanks for the question and congrats on the quarter.
Meta A. Marshall: Maybe a couple of questions from me. First, you mentioned some of the pricing you were taking probably largely around tariffs, but just wanted to get kind of latest views on memory, just as an overhang and kind of availability and just actions that you guys are taking there? And then maybe as a second question, maybe building on Joe's question, of the kind of $100 million raise it looks like you guys are doing for fiscal 2026. You know, the vast majority of that is Silvus, but yet there is still kind of some across the other business. Just wondering what businesses you feel kind of strongest about heading into fiscal 2026? Thanks.
Mahesh Saptharishi: Well, with respect to memory, Meta, we are planning for increases. The costs have gone up on parts of our portfolio. But across our $6 billion of COGS, memory is not a significant input for us, probably less than $50 million.
Tomer Zilberman: In terms of how we will mitigate the increases that we are expecting.
Mahesh Saptharishi: The same way we did semiconductors. We are working with our vendors. We are adding vendors. We are leaning in on public safety and our customer base being critical. Inventory and to some extent, planning for surgical price increases across the portfolio as well. So with that, we do plan for gross margins to be comparable despite the headwinds of tariffs that I mentioned earlier, as well as what is to come from memory.
Gregory Q. Brown: And on the incremental $100 million, it is $12.6 to $12.7. You are right. Given what we said earlier, it is about $75 million for an increase of revenue associated with Silvus, $25 million for the core. Quite frankly, better. In answer to your question of how do we feel about, forget Silvus for a minute, the rest of the components of the business and the three technologies. Really good. LMR is being driven by APEX Next, applications refresh, the body-worn assistant SVX, the D Series mission critical P25 LMR infrastructure. Command Center 15% last year, expected to be 15% this year. Video security, 10% last year, guiding to 10%–11% with increased cloud adoption. And I think, Mahesh, in terms of architecture and intentions to unify cloud and prem, we feel good about that as well, and we continue to add salespeople on the front-line video sales force. So candidly, when I look compositely across the portfolio, I think we feel good about all of it, quite frankly.
Meta A. Marshall: Great. Thanks.
Gregory Q. Brown: Thank you.
Operator: The next question is from the line of Keith Michael Housum with Northcoast Research. Your line is now open.
Mahesh Saptharishi: Good afternoon, guys. Hey. You know, your AI solution has been out there for several months. I remember seeing a preview of that back in May. I guess, can you talk about some of the early adoption that you have had, the success you have had so far before rolling out this, you know, AI Assist? And then I guess second part of that question, obviously, your competitor has their own AI package as well, which you guys are probably about half the price of that. Do you think your customers will have two different AI plans that they are going to be willing to use? Or do you believe it is one or the other as you guys start competing in this space?
Mahesh Saptharishi: So as I think about the early adopters and such in the space, I think it is important to remember that Assist for 911, we have been out there. We have been out there for over eighteen months at this point. And as I mentioned before, there are about 33 million calls that were taken last year alone that benefited with Assist for 911. So that is significant for us. We have, as part of our SVX launch, extensively tested translation capabilities across the board. And, by the way, that translation capability is also something we originally had within our 911 portfolio, supporting not just transcription, but translation as well. When you have language as a base there, what is very natural to do, and I believe that this is what we have seen across the industry, is things like summarization, things like being able to focus a call taker's attention on the right pieces of data, all of those pieces become much easier and more straightforward. But where the magic is is in being able to connect applications across workflows. And so very specifically, what we have done is leverage AI in this context to not just be something that is resident within a single application or supporting a particular user, but also linking applications across the board. So in this case, leveraging 911 to support a CAD incident data creation. Leveraging 911 data straight to the first responder to improve their situational awareness. These are all capabilities that are a consequence of us having the full Command Center and public safety ecosystem that is out there. In terms of do you buy the whole thing, do you buy one thing, we really want to give our customers as much flexibility as possible. Obviously, as they own more of our portfolio, there are more things that come into play in terms of that tight integration between those capabilities, and there is more time saved as a consequence of those integrations. But we fully expect, given the applications, the core applications they have, they will expand from that point on, and they can take it in the direction that they see fit, based upon the performance of our solutions, which we are very confident in.
Gregory Q. Brown: Yes. And the only other thing I would add is, to your point, we are rolling out the Responder Assist Suite. We believe it is more comprehensive. You mentioned the attractive price point at about half of the alternative. It is also important to know that the Dispatcher Assist Suite is new, so it is additive to, versus anything else that is out there. And, of course, remember the interplay between the Assist Suite and the body-worn assistant SVX. We have been competing with the incumbent on body-worn camera, but this is a new day. A new day that we literally do not need a separate device. You can go to one. You can converge it. You can use a more comprehensive set of AI. You will get a better total cost of ownership. We talked about just getting FedRAMP approval. So if I am a public safety customer and I am looking at alternatives, I would be wary of signing or being asked to sign this locked-in long-term multi-year contract and make sure I stare and compare about what is really viable as an alternative because we think our value prop is pretty compelling.
Mahesh Saptharishi: Great. So the package here for the AI for responders, is that sold separately, or is that sold as a bundle with your radios?
Gregory Q. Brown: Oh, I am sorry. Yes. The bundle is an incremental $99. It is incremental to the radio. In terms of the contract vehicle, customers will have the choice. We are not saying you must sign ten years or anything. If you want to sign up for a year or three, whatever it might be. But we are not playing any games. It is $99. You are going to get more than anything else that is out in the market for $99.
Mahesh Saptharishi: Great. Thank you.
Operator: Next question comes from the line of George Notter with Wolfe Research. Your line is now open. Quite impressed with the growth in the Software and Services side in the LMR business. Obviously, you have been driving low-teens growth and have been for some time now. I guess I am just curious about what is driving that growth. I assume it is the cyber protection and 24-by-7 monitoring services. How do you keep driving those kinds of growth rates over time? What is the outlook there?
Tomer Zilberman: Any more perspective would be great. Thanks.
Mahesh Saptharishi: Thanks for the question, George. So you have zoned in on the services part of Services and Software, and absolutely, part of our growth driver has been doing more for our customers. And every customer is on a different journey, and we can help them solve problems. And the portfolio is getting more integrated, and they are looking to us as the vendor of choice to look after it. In many cases, looking to us to monitor network performance, in some cases run the network. So that is absolutely a growth driver, and we have this opportunity ahead of us. In terms of the software side of Services and Software, there we have talked about the applications, the Command Center, video software, all of which are strong drivers. And together, this Services and Software segment, which you know is a recurring business, as it grew 13% last year, we are guiding 10% to 11% this year. And with that, we have scale and operating leverage. It is a terrific business. It is one where we can do more for our customers.
Mahesh Saptharishi: Just one more thing to add there. So we have seen 77% year-over-year customer growth in our managed detection and response platforms for cybersecurity. And one of the key drivers there, by the way, is also the fact that we have AI-driven automation within our cybersecurity platform where we process a billion security transactions on a daily basis, and 99% of that is actually handled automatically with AI. And that is largely starting with our critical communications, and we are just penetrating into the PSAPs and other areas as well. So there are growth possibilities there.
Jason J. Winkler: And another area where we are seeking to assist customers is in remote video monitoring with the recent acquisition of BlueEye. There are opportunities for our enterprise customers to help them identify false positives and get through signals a lot faster than they are doing now as well.
Operator: Got it. If I, again, kind of honing in on the LMR piece of the Software and Services business, like, how penetrated do you think you are with these services, you know, cyber or 24/7 monitoring? Yes. So
Gregory Q. Brown: cyber is, I would say we are, for P25 networks, you know, we are reasonably penetrated, but we have a lot of room to go there. It is when you start getting into the international market, and I think some of the enterprise security markets, which are massive in terms of the number of actual networks that are out there, particularly in the PCR side. They also, you think about refineries, hospitals, the like, they are also targets for potential network intrusion. They need cybersecurity as well. There is pure opportunity as it relates to that part of the business.
Jason J. Winkler: George, one other thing I would point you to is the D Series and the infrastructure upgrade around P25, and that we are in the very early stages of. That is new hardware. And with new hardware, customers are opting for more and longer duration software agreements around that hardware refresh. So some of the deals that we talked about, like Tennessee and others, are not just a hardware refresh. They come with services uplift and extensions.
Operator: Great. Thank you very much. Thanks, George. Once again, if you have a question, you may press 5 on your telephone keypad. The next question will come from Tomer Zilberman with BofA. Your line is now open. Hey, guys.
Tim Yocum: I wanted to continue on the line of questioning of the LMR growth. If I remove the Silvus contribution this quarter, it looks like the organic growth for your total business was about 7%, LMR was about 5%, which is an improvement from the 3% to 4% that we saw in the last few quarters, actually, in fact, at the high end of your previous guidance range of low to mid-single digits. So I appreciate you mentioned some comments around APEX NEXT and SVX and some of the other opportunities, but really, what changed in the last maybe quarter, two, three quarters or whatnot that is driving this accelerated growth for LMR? Is it, you know, heightened deployments right now that we are seeing with DHS? Is it that refresh cycle that you started that you were discussing that is starting to really take real legs? Like, what is the opportunity there?
Gregory Q. Brown: Look. The way I think about it, it is more of a, I do not necessarily think of acceleration. I think of consistency and durability. Three consecutive quarters of double-digit order growth with the expectation of Q1 being double digits and the full year being double digits while we go through 2025 and execute, build backlog, and then migrate and transition to more of the quick-turn model. I just think it is just the consistency of demand. Do I think that is informed by some new product? Yes. Like the D Series that Jason just mentioned, in part, obviously, early with the thousands of units of SVX that are seeded and shipped. But as we monetize software and services, as we continue to get significant cloud adoption, it is back to Meta's question. I just see consistency of demand through all three technologies and both segments, and that has given us more confidence to guide the year up $12.7 versus $12.6. And we feel good about the position we are in. And, overall, the momentum we have. FedRAMP approval is another one. I think it is not sequential on APEX Next radio, on SVX, on FedRAMP back-end approval of digital evidence management. So that widens the aperture of the addressable market that we could sell our LMR into. Got it. Maybe as a follow-up. I know last quarter you mentioned that 2026 would have about a $450 million headwind related to LMR backlog deployments of last year. I appreciate that is probably a majority Q1, which is somewhat impacting your guide, at least from a mathematics standpoint. But how much of that is residual left in Q2? In other words, how much could Q2 theoretically be pressured before we start seeing that double-digit, 10% plus order growth kick in in maybe the back half of the year?
Jason J. Winkler: In terms of normalization of our backlog, as Greg mentioned earlier, from $4.1 billion to $3.8 billion, which we expected, we have been clear on that. Majority of that obviously happens in Q1 as we return to more normal seasonal patterns, which we also covered. So the bulk of the change is reflected in the period of Q1.
Tim Yocum: Got it. So limited impact to Q2. What about Q2?
Jason J. Winkler: More significant in Q1 than Q2. That is what we anticipate.
Mahesh Saptharishi: Understood.
Gregory Q. Brown: Thank you. You bet.
Operator: The next question will come from the line of Benjamin James Bollin with Cleveland Research. Your line is now open. Good evening, everyone. Thanks for taking the question. I wanted to, I guess, piggyback on a lot of these backlog questions.
Tomer Zilberman: As I recall, during the pandemic, you guys had made some adjustments to preexisting contracts that allowed you to reprice backlog to account for pricing changes.
Tim Yocum: I am curious, is that contributing at all to what you are seeing in backlog behavior today as making price changes? Are we seeing that flow through? Is that a potential future mechanism that you could, you know, pull at some point in the future? Just any ways to think about what that means for the numbers we are looking at today? And then I have a follow-up.
Jason J. Winkler: Ben, we did not reprice existing contracts during the pandemic. We have contracts with customers at an opportunity for renewal as well as for product, which tends to be a quick-turn business. We do have pricing opportunity, and that is more of the levers that we implemented during COVID. So no, there is no sort of residual effect to your question of what is coming through backlog related to actions we took in the past. We will always look at pricing opportunities. We have them with the advent of new products, including the D Series, but that is just in our DNA.
Operator: Okay.
Jason J. Winkler: That is great. The other one I wanted to ask is a bigger picture, looking at what is going on with the World Cup. Could you talk about how that is contributing to visibility and, you know, what you are seeing? And in particular, interested in your perspective on who is funding those investments.
Gregory Q. Brown: Yes. Sure. So we are, let us start with, there is money available at the federal level. But remember that World Cup is not just a U.S. phenomenon. It is also in Canada and Mexico. The biggest deal that we have actually gotten to date has been in the Vancouver area: network refresh, refresh of fixed video opportunities. That is what we are seeing. The other opportunity as it relates to the World Cup and some of the locations and discussions we are having are the strategic investments we have made with both BRINC and SkySafe in terms of drone and counter-drone activity, because what we realized when we were partnered with the Ryder Cup is our ability to feed live video and how we incorporate Silvus into those offerings, as well as, I alluded to earlier, on special temporary authorization of usage. There is a use case there to do that. And so those are the conversations that I think we are uniquely positioned to have with the cities. But most of that, what we are seeing to date, is being driven by some federal grant money available, but largely being required to be planned at the local level and then executed at the local level.
Operator: Thanks, guys. Thank you. Our final question today is from the line of Louie DiPalma with William Blair. Your line is now open. Jason, Jack, and Mahesh, good afternoon.
Gregory Q. Brown: Good afternoon. How are you doing, Louie?
Tim Yocum: Excellent. One of Silvus' high-profile customers from Anduril recently received a $1 billion order for Taiwan loitered missiles. And we have heard of several other contracts for Silvus customers, customers specifically mentioning that they are using Silvus for their radios. And I was wondering, for the Silvus guidance raise, is most of that associated with non-Ukraine deployments as, you know, this Taiwan potential order is non-Ukraine, and there have been a lot of other non-Ukraine. But I was wondering where is the guidance raise coming from?
Jason J. Winkler: It is, as we have kind of alluded to, Louie, it is a mix of international and unmanned systems, to your point.
Gregory Q. Brown: The Taiwanese loitering munitions, by the way, just that I am always going to be, loitering munitions are typically are FPV drones, typically less likely to carry, you know, a higher-tier radio on them. But that said, I was out with, met with, had a really good meeting with some of the leadership at Anduril two weeks ago. I tell you, I was really, first of all, I am really impressed with what Anduril does and how they get product to market. But I was so proud of Bobak and his team because when I went around their product salon and I looked, and I was doing some quick math, and I think two thirds of their products have incorporated a Silvus radio into their design. So really encouraged. We want to deepen that relationship. And I think with the funding we are bringing both from an R&D standpoint, and I think they realize our willingness to scale around the globe, the relationships we have, I think we have an opportunity to really deepen that relationship.
Tim Yocum: Thanks. And video had a really strong fourth quarter, and you have been able to maintain double-digit growth for video at a very large scale. I was wondering for hospitals, schools, public venues, has there been an uptick in demand in response to just recent high-profile tragic incidents in which there were calls that some of these public venues did not have, like, enough camera density? And so I was wondering, you know, what have you been hearing from customers in terms of the demand for your video systems?
Gregory Q. Brown: Yes. It is a great question. So I think, number one, camera density is important, but I think when people look to us, they are looking to us because they believe we are the leader in the AI-driven analytics that actually fuel what you do with the data, how you can go through the video footage that you have and make better decisions in a more mobile and efficient environment. But now, listen, the video team, you know, we have been adamant about, Mahesh has, first of all, done a great job in terms of what he has built on our cloud Alta platform. But we also, we also, for, got people, we had a really good Unity quarter in Q4, which is our on-prem business. Camera deployments for 2025, in terms of camera counts, were up slightly. We expect a better 2026 in terms of number of cameras fielded. Some of that is a phenomenon of what you said about we land a deal, and then what we typically see is they expand those networks. And that is something that we work with our customers on. So, like, I just think all things being equal, safety and security rule the day in the public domain as well in private enterprise. And I think we are in a good position to benefit from that.
Jason J. Winkler: And, Louie, the 10% to 11% that we outlook for 2026 in video includes the continued acceleration to cloud, as Jack mentioned. Right. Our cloud-based platform also is leading the way. But the portfolio is also, through Mahesh's leadership, becoming more hybrid in nature. We are giving customers a choice, which we think is going to position us even better.
Mahesh Saptharishi: And the only thing I would add to that is that we launched generative AI capabilities last year in support of both Unity and our Alta solutions. And one of the key things that that is enabling is, historically, when we think about video, it is largely security-oriented use cases. We are now transitioning also into safety- and compliance-oriented use cases. So when you think about healthcare, when you think about some of these other key verticals, safety and compliance also become a significant element of why video cameras are needed and the VMS is needed as a consequence, and all of that ties in nicely to a growth story.
Tomer Zilberman: Thanks, Mahesh and Jason. Everybody.
Gregory Q. Brown: Thank you. This concludes our—
Operator: This concludes our question and answer session. I will now turn the floor over to Mr. Gregory Q. Brown, Chairman and Chief Executive, for any additional comments or closing remarks.
Gregory Q. Brown: Yes. Thank you. Look, I just want to say thanks to everybody for joining us, and thanks for the wide-ranging and robust questions. To reiterate, I like where we are as we sit here today heading into the year: the strong demand profile, strong pipeline. I especially also like the strong liquidity profile and the robust cash generation and the strategic flexibility that a great balance sheet affords us. I want to thank all the Motorola people, all the Motorola partners, but I also want to take a minute and thank Tim Yocum. Tim is transitioning to a critically important role in finance supporting what will be our Command Center business. He has been leading IR for seven years, and he has built a great team. He and I have been through a lot. I really value his candor, his leadership, his willingness to roll up his sleeves. He is a great give-and-take guy. You will be meeting Brian Piotrowski, who will be coming into this role and we will formally announce next week. But we have plenty of time to transition. But, Tim and team, you have done an awesome job. I appreciate you a lot. And I know you are not going far away. But I wanted to make sure that you understood how much I value and we value Tim Yocum and his leadership and look forward to strapping it in with Brian Piotrowski, who I think, along with Vicki and, of course, Wigar, that you will enjoy. So thanks for dialing in. Thanks for listening. Talk to you in a quarter.
Operator: This does conclude today's teleconference. A replay of this call will be available over the Internet within three hours. The website address is investors.motorolasolutions.com.
Tim Yocum: We thank you for your participation.
Operator: And ask that you please disconnect your lines at this time.